Operator: Ladies and gentlemen, thank you for standing by. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the SandRidge Energy Second Quarter 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. It is now my pleasure to turn today's call over to Scott Prestridge, Vice President of Finance and Treasury. Sir, please go ahead.
Scott Prestridge: Thank you, and welcome everyone. With me today are Grayson Pranin, our CEO and COO; Salah Gamoudi, our CFO and CAO; as well as Dean Parrish, our SVP of Operations. We would like to remind you that today's call contains forward-looking statements and assumptions, which are subject to risks and uncertainties, and actual results, may differ materially from those projected in these forward-looking statements. We may also refer to adjusted EBITDA and adjusted G&A and other non-GAAP financial measures. Reconciliations of these measures can be found on our website. With that I'll turn the call over to Grayson.
Grayson Pranin: Thank you, and good morning. I'm pleased to report on a good quarter of results that the company's efficient activity continues to translate to meaningful free cash flow from our producing assets year-to-date and the announcement of a regular quarterly cash dividend of $0.10 per share, first payable in August 2023, subject to quarterly approval by the Board of Directors and a $2 per share onetime cash dividend that was paid on June 7 2023. Before expanding on this, Salah will touch on a few highlights.
Salah Gamoudi: Thank you, Grayson. Before jumping into operational and financial results, I would like to highlight the recent closing of an acquisition which increased the company's working interest in 26 operated wells within our Northwest Stack area, adding approximately 500 net Boe per day of approximately 30% oil or $11.3 million. These types of small ball bolt-ons will add value-accretive production, with low decline profiles that will further strengthen the company's commodity price realizations, operating margins and cash flow. Production for the quarter averaged 17.5 MBoe per day, up from 16.7 MBoe per day in the previous quarter and an increase of approximately 39% in oil production from the second quarter of 2022, driven by the higher oil content of new wells from our recent development program in the Northwest Stack play, but before the benefit of our recently closed acquisition. Over the quarter, the company generated adjusted EBITDA of approximately $20 million. As we have pointed out in the past, our adjusted EBITDA is a unique metric for SandRidge due to us having no I and very little T, given that we have no debt and a substantial NOL position that shields our cash flows from federal income taxes. On the I portion, we in fact generated approximately $2.9 million of interest income during the quarter from cash held in the diversity of high-yield deposit accounts. Net cash including restricted cash was approximately $224 million, which represents approximately $6 per share of our common stock issued and outstanding as of June 30, 2023 and net of the onetime dividend of $2 per share paid on June 7, 2023. The company has no term debt or revolving debt obligations as of June 30, 2023 and continues to live within cash flow, funding all of its capital expenditures with cash flow from operations and cash held on the balance sheet. Commodity price realizations before considering the impact of hedges were $70.99 per barrel of oil, $2 per Mcf of gas and $20.19 per barrel of NGLs for the first half of the year. While there has been a reduction in oil and natural gas market benchmark prices for WTI and Henry Hub over the first six months of the year, the company has maintained commodity price realizations in line with previously issued guidance for the period. As alluded to earlier, we have maintained our large federal NOL position, which is estimated to be approximately $1.6 billion at quarter end. Our NOL position has and will continue to allow us to shield our cash flows from federal income taxes. Our commitment to cost discipline has continued to be impactful. Adjusted G&A for the quarter was approximately $1.9 million or $1.21 per Boe. Despite inflationary pressures and an increased well count from our prior well reactivation and development programs, LOE and expense workovers for the quarter were approximately $8.8 million or $5.53 per Boe, a near 25% reduction from the prior quarter. We believe we compare favorably with our peers in regards to G&A and LOE on both an absolute and per Boe basis. We continue to generate net income for our shareholders. During the quarter, we earned net income of $16.6 million or $0.45 per basic share and net cash provided by operating activities of $24 million. The company also generated approximately $2.9 million in interest income during the first quarter, totaling approximately $5.4 million for the first six months of 2023. This is all culminated in the company producing approximately $40 million in free cash flow during the first six months of 2023, which represents a conversion rate of approximately 77% relative to adjusted EBITDA or just over $1 per common share of common stock outstanding. Before shifting to our outlook, we should note that our earnings release and 10-Q provide further detail on our financial and operational performance during the quarter.
Grayson Pranin: Thank you, Salah. So I thought it would be helpful to walk through some of the company's highlights, management strategy and other business details. As I mentioned previously, this past quarter was good results, adding relatively oilier production from new wells in the Northwest Stack, while converting over 77% of adjusted EBITDA to free cash flow during the first six months of the year. Production from our Mid-Con assets averaged 17.5 MBoe per day for the quarter with Boe volumes increasing by 6% from the previous quarter and oil volumes increasing nearly 40% compared to the second quarter of 2022 aided by the oilier production content of our new Northwest Stack wells. The company's largest natural gas purchaser remain in ethane rejection during the quarter with more ethane staying in the natural gas stream which had more favorable market pricing at the time of sales. The decrease of ethane in the NGL stream resulted in richer quality residue gas and increased natural gas volumes on a BTU basis but decreased NGL volumes and subsequently total production on a barrel of equivalent basis relative to prior periods when more ethane was being recovered. We anticipate that a majority of our natural gas stream could remain in ethane rejection for the remainder of the year. Again, while this could impact the total volume of NGLs, the remaining volume will be composed of more profitable C3+ components like propane, butane and gasoline on a percentage basis. Likewise, the ethane remaining in the natural gas stream will improve its BTU quality. During the first half of 2023, we completed 10 artificial lift conversions as the company continues to focus on high return and value-adding projects that provide benefits such as lowering forward-looking costs, enhancing or reactivating production on existing wells and further moderating its modest decline profile. The systems we have and will be installing are tailored for the wells' current fluid production and will reduce the electrical demand from the current artificial lift systems and is key to decreasing utility costs. In addition the company has returned over 180 wells to production since 2021. However, we have reduced this program in the near-term electing to defer more meaningful levels of reactivations for periods of increased commodity prices. The focused efforts over the past several quarters in optimizing our wells' production profile and cost focus have contributed to flattening the expected base asset level decline of our already producing assets to an average of approximately 8% over the next 10 years before the impact of additional reactivations are developed. The company continues to ensure that all projects meet high rate of return thresholds and remains capitally disciplined as commodity price landscape changes. Finally, over the quarter, we successfully drilled completed and are now producing the last two operated wells in this year's program. These wells targeting the Meramec formation in the core of the Northwest Stack play had a dual pad, total peak 30-day average gross production rate of nearly 1,500 barrels of equivalent per day at 41% oil and continues to free flow with gas remaining relatively flat after nearly 90 days of production. Let's pause for a moment to revisit the key highlights of SandRidge. Our asset base is focused in the Mid-Continent region with a primarily PDP well set, which do not require any routine flaring of produced gas. These well-understood assets are most fully held by production with a long history shallowing and diversified production profile and double-digit reserve life. These assets include more than 1,000 miles each of owned and operated SWD and electrical infrastructure over our footprint. This substantial owned and integrated infrastructure provides the company both costs and strategic advantages, bolstering asset operating margins to reduce lifting as well as water handling and disposal costs and combined with other advantages help derisk individual well profitability for majority of our producing wells down to $40 WTI and $2 Henry Hub. In addition, the interconnectivity and ample capacity help buffer against unforeseen curtailment. Our assets continue to yield meaningful free cash flow and total net cash now totaling $224 million after the recent $2 per share one-time dividend paid during the quarter and zero debt. This cash generation potential provides several paths to increase shareholder value realization and is benefited by a relatively low G&A burden. As we realize value and generate cash, our Board is committed to utilizing our assets including our cash to maximize shareholder value. SandRidge's value proposition is materially derisked from a financial perspective by our strengthened balance sheet, robust net cash position, financial flexibility and approximately $1.6 billion in NOLs. Further, the company is not subject to MVCs, or other significant off-balance sheet financial commitments. Finally, it's worth highlighting that we take our ESG commitment seriously, and have implemented disciplined processes around them. We remain committed to our strategy to focus on growing the cash value and generation capability of our business in a safe responsible efficient manner, while prudently allocating capital to high return organic growth opportunities and remaining open to value accretive opportunities. This strategy has five points. One, maximize the cash value and generation capacity of our incumbent Mid-Con PDP assets by extending and flattening our production profile with high rate of return workover and artificial lift conversions, as well as continuously pressing on operating and administrative costs. Second, is to ensure we convert as much EBITDA to free cash flow as possible by exercising capital stewardship and investing in projects and opportunities that have a high risk adjusted fully burdened rates of return to economically add production. The third is to maintain optionality to execute on value accretive merger and acquisition opportunities that could bring synergies, leverage the company's core competencies, complement its portfolio of assets, further utilize its approximately $1.6 billion of net operating losses or otherwise yield attractive returns for its shareholders. I'd like to pause here for a moment to highlight the acquisition, we recently announced which increased our interest in 26 operated wells in the Northwest Stack play. We like this type of small ball bolt-ons where we can efficiently add production for accretive returns, and will continue to look for opportunities similar to this as well as larger ones that meet the characteristics I described earlier. Fourth, as we generate cash, we will continue to work with our Board to assess paths to maximize shareholder value to include investment in strategic opportunities return of capital and other uses. To this end, the company initiated a return of capital program during the quarter that consists of a $2 per share one-time dividend paid on June 7, 2023, $0.10 per share regular way cash dividend first payable in August of this year subject to quarterly approvals by the Board of Directors, and an expanded share buyback program of up to $75 million. Please note that the company's cash position is also a strategic advantage and provides competitive leverage in evaluating M&A opportunities, especially given the outlook on interest rates, capital markets and impact to the optionality on the number and types of opportunities that could become available at certain levels. Note that there is a high bar at both the management and board levels for mergers and acquisitions. Management will continue to assess and promote regular way return of capital discussions, advanced M&A evaluations, meet with shareholders and investors and work with our Board to further enhance paths to maximize shareholder value. Besides executing this year's capital plan and operating in a safe and responsible manner, these topics remain paramount and a top priority. In the interim, we have secured favorable banking terms and keep our cash position diversified across interest-bearing accounts at multiple large financial institutions. The final staple is to uphold our ESG responsibilities. Circling back to this year's capital program, while oil has fluctuated between $70 to $80 per barrel range Henry Hub has fallen to the mid-2s near term or in contango approaching upper 3s by year-end. Given these near-term dynamics and then our Mid-Con assets are 99% held by production, which preserves the tenor of our development options we have concluded our drilling program for the year with the last operator wells that came online over the quarter. We will continue to monitor commodity price dynamics and maintain flexibility to adjust as may be warranted. Commodity prices firmly over $80 WTI and $4 Henry Hub over a confident tenor and/or reduction in well costs are needed before we would return to exercise the option value of further development or reactivations. That said, our team's efforts to combat inflationary pressures and execute operationally have and will translate to attractive returns in our remaining capital program, which is now primarily focused on artificial lift conversions and other small ball PDP-enhancing projects. While we have reduced activity near term, the recent commodity price environment could be constructive for M&A. Our producing Mid-Con assets will continue to generate meaningful cash flow in the near term, with the recent strip natural gas prices projected to improve by year-end. In the interim, the relatively lower commodity price down from previous year's highs to present more cost-effective opportunities for acquisitions, which would then be positioned to capitalize on future price improvement. Shifting to expenses. We're able to keep adjusted G&A to $1.9 million, or $1.21 per Boe for the quarter, which compares favorably with our peers. The efficiency of our organization stems from our core values to remain cost disciplined, as well as prior initiatives, which have tailored our organization to be fit for purpose. We continue to balance the weighting of field versus corporate personnel to reflect where we actually create value and outsource necessary, but more perfunctory and less core functions such as operation accounting, land administration, IT, tax and HR. Given our efficient structure and ability to flex with expanded activity over the past several quarters through outsourcing, our total personnel has remained consistent at just over 100 people, while retaining key technical skill sets that have both the experience and institutional knowledge of our area of operations. We believe that this efficiency and structure are favorable advantages that could be effectively applied over a broader asset base and a benefit as the company evaluates the potential for M&A. Despite inflationary pressures and an increased well count from our prior reactivations and development programs, LOE and expense workovers for the quarter were $8.8 million or $5.53 per Boe for the quarter, a nearly a 25% reduction from the prior quarter, which was primarily driven by lower utility and expense workover costs. The former benefited from lower natural gas prices and power generation costs as well as our artificial lift conversions. We anticipate workover expenses and utility costs to remain at these levels over the year and we'll continue to actively press on operating costs through rigorous bidding processes, continuing to leverage our significant infrastructure, operations center and other company advantages. In summary, the company has $224 million net cash and cash equivalents at quarter end, which represents approximately $6 per share of our common stock issued and outstanding; average production over the quarter of 17.5 MBoe per day with nearly 40% increase in oil compared to the second quarter of 2022 from our Mid-Con producing assets; Mid-Con position that is 99% held by production, which preserves the option value of future development potential in a cost-effective manner. Low overhead, top-tier adjusted G&A of $1.21 per Boe. No debt in fact negative leverage. Meaningful free cash flow and a growing net cash position supported by a diverse production profile, flattening expected annual PDP decline to an average of approximately 8% over the next 10 years, multi-digit reserve life asset base. $1.6 billion in NOLs, which will shield future free cash flow from federal income taxes and a large owned and operated SWD and electrical infrastructure, which provides cost and strategic advantages requiring little to no future capital to maintain. This concludes our prepared remarks. Thank you for your time. We'll now open the call to questions.
End of Q&A: [Operator Instructions] There are no questions at this time. Ladies and gentlemen, thank you for your participation today. This concludes today's conference call. You may now disconnect.